Operator: Ladies and gentlemen, welcome to AIXTRON's H1 2020 Results Conference Call. Please note that today's call is being recorded. Let me now hand over to Mr. Guido Pickert, VP of IR and Corporate Communications at AIXTRON, for opening remarks and introductions.
Guido Pickert: Thank you, Operator. Let me start by welcoming you all to AIXTRON's presentation of our half and Q2 2020 results. Today, I'd like to welcome our executive board represented by Dr. Felix Grawert and Dr. Bernd Schulte, as well as our VP of Finance and Administration, Charles Russell. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be rerecorded or rebroadcast without permission. Your participation in this call implies your consent to this recording. As with previous results conference call, AIXTRON's all participants have our results presentation slide deck page 2 of which contain the safe harbor statement. I would like to point out that this applies throughout the conference call. You may also wish to have a look at our latest IR Master Presentation with additional information on AIXTRON's markets and its technology. This is also available on our website. This call is not being immediately presented via webcast or any other medium. However, we will play some audio file up and recording or transcript on our website at some point after the call. I would now like to hand you over to Bernd Schulte for opening remarks. Bernd?
Dr. Bernd Schulte: Many thanks, Guido. Let me now welcome you to our results presentation of the first half of 2020, and now I will start as usual, with an overview of the key developments in the second quarter on Slide 3 before handing over to Charles and Felix. With orders of nearly €70 million, we had a continued solid quarter for order intake. In Q2, revenues came in at €56 million which was higher than the previous quarter's revenues, but as expected, still not at the level of at last year's quarter. However, this is the result of the corresponding order intake during the relevant period of last year. As a consequence, revenues in the second half of the year are expected to grow significantly compared to the first half, in order to achieve our full year guidance. During Q2, upon request of our customers, we experienced a few delays of commissioning of tools caused by the pandemic. For the second half of the year, we see local lockdown measures ending and an overall relaxation of travel ban. Therefore, we expect no significant influence related to COVID-19 on our entire fiscal year 2020. However, we will continue to watch the development of global pandemic very carefully and remain to be ready to take measures as necessary. In the second quarter, our other key financials were largely in line with our plan. With the gross margin of 41%, we are back to the usual level. We finished the quarter with an order backlog of €167 million, which is 42% over the same period last year and give us confidence that we can meet our 2020 full year guidance, which we communicated to you in our last call and which really we'll reiterate to you later in more detail. The renewal of our entire MOCVD product portfolio has been continued, is making good progress, and is an advanced stage. We remain confident about our prospects in our addressable market with our new product as we believe that this will open new market opportunities for our equipment and get our business in an even better position in the future. At this point, let me hand you now over to Charles for more detailed overview on the Q2 2020 numbers. Charles.
Charles Russell: Thanks, Bernd, and hello to everyone. Starting on Slide 4, income statement, total revenue for the quarter at €56 million, was higher than the €41 million of the previous quarter, reflecting the phasing of orders through 2019. The abnormal underutilization of production and service, which were reported in Q1 2020, has now been eliminated. The resulting 5% improvement in gross margin is largely attributable to the increased volume. Operating expenses in the quarter of €20 million were higher than the €16 million in Q1 2020. The difference between the two quarters operating expenses is down to two factors. Firstly, selling expenses in Q2 include a €0.5 million external commission; and secondly, the Q1 OpEx included a one-off credits in other income of €2.9 million from the reversal of an impairment charge. EBIT was €3.3 million compared to the loss of €1 million in Q1. The tax rates are in both the quarter and the half year because the €2.9 million gain on reverse of impairment is not a taxable transaction. Therefore, net profit was also slightly above the €3 million in the quarter. Turning to the balance sheet on the next slide, inventories of €91 million are higher than previous quarters in preparation for the scheduled high level of shipments in the second half of the year. The level of prototypes in inventory fell from €12 million to €9 million in the quarter. On an actual basis received €24 million represent 30 DSO and the same as at the end of Q1. Other assets have increased slightly in the quarter to €13 million from €5 million at the end of Q1. This is mainly because of some routine tax pay the head and VAT and grants, which should not be received at the end of June. Customer deposits remained stable at €61 million in Q2 compared with €50 million at the end of Q1, reflecting our growing backlog. Moving to Slide 6 of cash flow statements, we had a negative free cash flow €11 million in the quarter, which was mainly due to the increased working capital I just mentioned. Overall, cash balance at the end of the quarter was €289 million. And with that, let me now hand you over to Felix.
Dr. Felix Grawert: Thank you, Charles, and welcome to you all. I will give you a short overview of developments within our portfolio of our approach to handling the pandemic and of our outlook. Let me first speak about our OLED business at APEVA. We are going through the qualification process with our Korean customer and continue to make good technical progress. We have achieved a number of technical specifications and work towards achieving additional one. Furthermore, we are now starting discussions with our customers on the next step of our joint OLED project. In our MOCVD business, we have seen solid interest around our datacom laser solutions, driven by the ever growing need of fast data communication. Our equipment for the production of LED to find pitch or mini-LED display and mini-LED backlighting unit continued to see healthy demand. In addition, we have sold a good number of upgrade kit for the production of UVC LED. UVC light can be used for disinfection of air, water and surfaces. This does not represent a large portion of our revenue, but gives a good contribution to profit and helped to further strengthen our position in the market. In power electronics, we see strong demand in particular from our existing silicon carbide customer and the growing demand for tools to produce gallium nitride based power devices. These devices are used for example in highly efficient power supplies and compact fast-charging devices of consumer electronics such as mobile phone or laptop. Let me now give you some background information on how we handle the COVID-19 challenge. Our production remains to be up and running without interruption or delay. As you know, we had implemented a number of measures early on in the crisis, and our supply chain has proven to be very stable without major shipment delays. Since early June, all our employees are back in the office, working in an increased distance to each other, and wearing masks wherever proximity to others cannot be avoided. Since the return to the office, we did not have any additional cases of COVID-19 infection in the Company. As a result of the above described market demand and our stable operation, we can again confirm and reiterate our guidance for the year 2020 as illustrated on Slide 7. You may have noticed on our guidance slide that we are now showing order and backlog figure, which are to be converted into revenue during 2020 rather than just looking at the timing of shipment. We've made some changes to the way we put together our guidance slides. We use no base our assumption of what we previous record should have been order in take a backlog on more exact data, mainly on what we believe will be converted into revenue this year. This means that we are not assuming 100% revenue generation on shipment of tool anymore, but rather 90%. Generally, this is what we are actually booking on shipment, which makes the figures now more accurate and that is the reason why we have introduced the change. With this, we continue to expect revenues to be in the range between €260 million and €300 million, a gross margin of approximately 40% and an EBIT margin between 10% and 15% of revenue for the full year 2020. This expectation is based on our solid order book at the end of this quarter at a healthy level of customer inquiry, particularly around next generation power electronic, lasers for optical data communication and specialty LED for display application. Our forecasted U.S. dollar denominated orders and revenue for the remainder of the year are as always based on exchange rate of $120 per euro. With that, I will pass back to Guido before we take questions.
Guido Pickert: Thank you very much, Felix, Bernd and Charles. Operator will now take questions, please.
Operator: Yes. Thank you very much. [Operator Instructions] The first question comes from Andrew Gardiner from Barclays. Over to you.
Andrew Gardiner: If I could ask two; firstly, just a quick one. Bernd, you've referenced some slight delays in second quarter primarily at the customer request. Can you give us a sense as to what market that might have been in and whether it was significant in terms of revenue? And are you expecting to get that back in third and fourth quarters? And also just around the -- perhaps the reframing of guidance and the backlog that you've got to ship later this year, but actually -- so, my question was more into next year. I mean, what kind of longer term visibility, do you have at the moment, as we looked at the start of 2021, and some of the relative strength, the different end markets? Thank you.
Dr. Bernd Schulte: Yes, thank you, Andrew, for the questions. Yes, with the delays, I mentioned in my presentation. It is pretty much that in the first quarter, it was mainly in China. You could not travel to China or even within China our Chinese team could not travel, and that delayed some few shipments to China and installations, which in the meantime for example, the shipments have been shifted in Q2. And in second quarter, it was more installations dedicated for U.S. and Europe for same reasons. And it is not a huge number in terms of revenue because it's mainly remember, we take 10% of the revenue of order with achieving the final acceptance, which basically we get once we finish the installation and meet the final acceptance requirements. So, the total number is not big, but it is important for us in terms of the profitability. So, it is a small one digit say, million numbers which we talk about. On the longer term perspective, it's very difficult to say. We certainly looking into market analysis and this is, of course, not based on bottom up approaches, more on longer term expectations for market developments in specific sectors, and there we are very optimistic in the growth opportunities of the areas. I think you mentioned by Felix. But, the difficulties always, is when that it really come and when does it kick off. So is it the next year? Is maybe somewhat later? It really depends what end application in the end drives the demand. So, as we can speak more about the long-term perspective, which is looking very positive for the short term, was also informative, and unfortunately in between, it's quite difficult to say.
Andrew Gardiner: Understood. After that just follow up on that last point quickly. You mentioned greater interest in tools for mini and micro LED, moving towards fine pitch displays. If you guys feel we're getting closer to an inflection point there, there's obviously a lot of talk about it within the market. I'm just wondering in terms of whether you feel like we're still in the prototyping phase or is there sign that you might start to see orders for more production volumes?
Dr. Bernd Schulte: Andrew, you have to see this is little bit more complex. First of all, there are now products sold by our customers to end application. So it's not like feasibility. It's happening now. But you have to differentiate between the colors. Particular for the blue and green color, the market or the customers are using installed equipment which they have acquired to for the general lighting demand. So, they have enough capacity for blue and green for this application. However, for red, it's different. For red you need additional capacity simply because read capacity is pretty fully utilized due to, you may remember you don't need to read for solid state lighting. So, there is not such a big install base, which has been acquired during the solid state light in blue. And that drives basically our -- when we speak about demand for a fine pitch, mini LED, it is red LED system when we talk really about. And we received orders and we're going to ship tools in the second half of this year in particular for this application, so it's ongoing now.
Operator: The next is Uwe Schupp from Deutsche Bank.
Uwe Schupp: Also questions from my side, please. Firstly, on the gross margin and really related to LED, as well -- sorry to follow up on here and the secondly on fast-charging. So, first on the gross margin, if my math is correct, you actually had roughly 50% revenue from LED in the second quarter. And in the past, we have been told that LED orders are typically carrying a much lower gross margin, yet, obviously, the gross margin in Q1-- Q2 was much better than in Q1. So just my question is how to square this up with what we are seeing and maybe that is related to the comment you already made that really LED is no longer LED i.e. for motor goods are maybe more higher margin? Any color on that would be appreciated. And secondly, on fast-charging and gallium nitride, can you just brief on, how much of the CapEx for this opportunity, do you think have you seen, have your customers already been spending in terms of number of mobile phones for 5G that can be penetrated just on color on that to be efficient? Thank you.
Dr. Felix Grawert: Okay. Let me start with the, your first question about gross margin in particular Q2 while Q2 so good, having such a high LED content and that is the reason is very simple. The LED content in Q2 was not provided on mini LED, it's being a customer who ramping up in China. Ramping up is opportunity for micro LED and micro LED requires really a high performance high-end MOCVD tool, which is fully automated. And with that, the micro LED prices are more like prices really are used to power electronics et cetera, so meaning with, in the end higher margin. I'm afraid you may see in Q3, a slight drop in gross margin because they're in Q3 will go into quite a few systems for red LED to China for the names for dimensions, mini LED and frontage. So that's the explanation.
Dr. Bernd Schulte: And let me come to your question on the fast-charging gallium nitride. So, gallium nitride based power electronics have multiple good cases. Fast-charging is now the first good case that we see really going into volume, so we clearly have been the inflection point and we see that the market is in full ramp. And we see especially and we can expect to see further that right now and further in 2021, many smartphone models will be equipped with fast-charging modules, chargers based on gallium nitride power electronics. Interestingly, it was mostly Chinese customers, taking the lead on this one, in this case Chinese smartphone maker in the first one in the adoption. So, we talk here about the Huawei, the VIVO, the Xiaomi, the OPPO and these guys, I think, other global brands will follow later. However, I think we should not only reduce gallium nitride based power electronics to fast-charging, that would be too little, yes? Fast-charging is the first application, adopting gallium nitride power electronics in volume, safely from the reason that the gallium nitride has a good value proposition here, but also the reliability requirements of this consumer electronic markets are relatively low here, such that, such a new innovative materials find fast adoption. I'm personally expecting the second wave of gallium nitride based power electronics to be in highly energy efficient data center. We speak here about the power supply for the data center of Google, Facebook, Amazon, and alike. And also part of the second wave, we can expect on-board chargers for electric meters or hybrid vehicles. And later on, we can expect the third wave of gallium nitride based power electronics to be integrated or smart power, as some customers calling that, then exploiting the capability that on one dial, we can integrate multiple switches. So from that, in a nutshell, you can say, we are seeing now the starting point, the inflection point, and other multi-year growth opportunity. But I would not want to say that X many units total market size, and we've now seen X percent of that as a question was indicating.
Uwe Schupp: Can I ask just one follow up on to each of you? First, Bernd, when you say, actually remember you're saying during various conference calls, there is no true micro LED in China. Is that statement now still valid, post your -- post the comment you made a minute ago? And then secondly, Felix, you said that the Chinese smartphone makers have actually leapfrogged the other with the fast-charging, but is it true that your customer base is sitting more in Taiwan and they will be shipping those chips to the Chinese smartphone makers?
Dr. Bernd Schulte: About the common to LED micro in China, I'm afraid, this statement will hold up. There's quite some ambition in China to develop micro LED. And basically, even, if you have a micro LED capital tool and just to start producing with this tool, first, what we would call a mini LED, but wanting to develop, let say, having a roadmap to reducing size of chips and going more towards micro LED, I think this is the plan in which the customers is going along. So, it's true, there is no true micro LED product out of China, yet.
Dr. Felix Grawert: Into the second question where our customer base is located, our customer base for gallium nitride, I would split it into two waves. The first wave of customer installations was in Europe in the U.S. and in Taiwan, as your question is indicating. And in fact, one of our Taiwan based customers is currently running in very high volume, producing chips, producing gallium nitride based chips, and many of them are being used in China based smartphone models. However, in the last one and a half years, we have also seen very strong demand for gallium nitride based tool or G5 plus tool from China mainland itself, yes. And I think, we have easily shipped one or two dozen tools in the last 1.5 years China mainland, not only one customer, but a number of China-based startup midsize players by now some of them multiple get that in China mainland. There's a very strong and deep knowledge of compound semiconductors, which has been grown over the last decade based on the blue in the industry, which was also based on the gallium nitride materials, yes. And we announced in also local production of local China customers jumping on that bandwagon. So China is becoming a market for gallium nitride by itself.
Operator: Next up is Malte Schaumann from Warburg Research.
Malte Schaumann: The first one is on the order pipeline. How is your confidence of what sustainability you see in your pipeline for current future projects? So you feel quite confident which potentially kind of similar order level in the second half does -- do order levels or do -- does the pipeline change frequently. So what is the certainty or uncertainty you've seen in your order pipeline for the -- rather geared toward the short-term?
Dr. Felix Grawert: Thank you, Mr. Schaumann. I mean, so far, the inquiry and quotation activities sitting here now. They continue on a similar level like in the first half of the year. So, it's of course, difficult to say what will happen in next quarters, but talking, but now we see a similar levels.
Malte Schaumann: Okay. And is the mixed coming from the -- their shift in applications, so LED was pretty strong, especially in the first quarter, probably in the second as well that shifting towards another application or that is remaining stable?
Dr. Felix Grawert: I think we see a similar mix in the second half as in the first half, judging or inquiry level, which is a strong of the power electronics side, both gamma and silicon carbide. And secondly, laser for optical data communications; and thirdly, micro and min LED, which we largely discussed in the last couple of minutes.
Malte Schaumann: Yes, good. Then, on OLED -- on the OLED project, I still prepared to make a decision this year, if in the case in auto will not follow up or do you see any kind of postponement in the project that might lead to the delay in the sudden taking?
Dr. Felix Grawert: So, we are now about to complete the Gen2 project. As we wrote in our report, we have achieved a couple of specs. We are working with a customer on achieving additional ones and closing the specification list and then later on closing the project. And with that, we are now starting discussions with our customer on a follow-on project, which once again was again an R&D type development project, however, scaling up to a larger display size. So, in the first one, on the Gen2 project, we've generally proven the feasibility study of the OVPD technology. And the next stage yes, which is then to come in 2021, is about proving that this can also work at large scale substrates that would be the next step. And we are now starting the discussions. They could conclude by the end of the year. They can move on early into next year. And I think that depends really on the technical discussion because along with such a project, it's not only used to together with a customer like on an existing project and you close the deal, you negotiate the price, you sign a deal. But it's a lot of technical discussions about the specifications, what you want to achieve, how it got -- it fits into the customer line. And only when those technical details are sorted out, you can really make a closure of the project, yes, but those discussions are now starting.
Malte Schaumann: Okay, good. And then last one quick one on the financials items. Over the past kind of six quarter, you had an average R&D funding of €2 million per quarter. That the number I would also expect going forward? Or is there kind of a change in one of the be directions coming?
Dr. Felix Grawert: I think that we would expect a similar level of R&D funding into the rest of the year, really.
Malte Schaumann: And any change going into next year or it is early to tell?
Dr. Felix Grawert: I don't think there's much change expected at all into next year.
Operator: Next question comes from Janardan Menon from Liberum, over to you.
Janardan Menon: Good afternoon. Thanks for taking my question. Just one question on the silicon carbide side, you said your orders are still going from your existing customer. Can you give us an update on how the qualifications with the other customers are proceeding and when you might expect a decision on that to be made?
Dr. Felix Grawert: Yes, thank you for that question. So, as mentioned with one existing customer, we clearly see that this customer is in a ramp phase and is placing continually orders, every quarter 1, 2, 3 tools, but that is very, very nice and enjoyable. We are positive on concluding the qualification with other customers. And I think it's just a question of the volume ramp and the production facility expansion, as the other customers when an order is going to be placed. It's not a question whether an order be placed, but it's a question rather isn't going to be placed in Q4, is it going to be placed in Q1? And that's truly depends on the volume and capacities of our customer.
Janardan Menon: So would those new customers be having a sort of a dual platform strategy you and your competitor or would they be moving entirely to you?
Dr. Felix Grawert: Well, I think the existing base is with our competitor and the existing basis is already a number of tools. So, I would expect the largest part of the ongoing expansion to be with our tools once we convince the customer of our tools because our objective is very clearly to have a lower cost of ownership. So, there should not be a reason to buy a competitor tool again.
Janardan Menon: And this is with one company or is it with multiple companies?
Dr. Felix Grawert: Multiple companies.
Janardan Menon: So, can we assume therefore that have these new facilities start expanding sometime in the next 12 months or so, maybe first half of next year, is when you will see an inflection of orders beyond your existing customer?
Dr. Felix Grawert: I think in the first half of 2021, we should clearly see demand from our customers, yes.
Janardan Menon: Understood. Just on the OLED side, so can I understand from your comments that the customer is now convinced of the technical capabilities of the Gen2 machine and therefore is keen to proceed on to the bigger machine whether that is a Gen6 or a Gen8? I mean, that question mark is now no longer is not at there anymore. Now, it's only a matter of finalizing the price and the technical qualifications or specifications of this larger machine?
Dr. Felix Grawert: I wish I could look into the head of my customer because then I had a clear advantage in a price negotiation. I cannot answer you that because only my customer knows.
Janardan Menon: Okay, but the very fact that he is willing to engage in this discussion should imply that he is interested, presumably?
Dr. Bernd Schulte: Interested, I would definitely say so. No, I wouldn't bother to talk to them.
Janardan Menon: And the last question is, I mean, to hit the high end of your sales guidance for the year, you will probably have to be shipping in excess of €100 million worth of systems by Q4. Do you have the sort of capability in terms of supply chain deliveries and space et cetera due to deliver that sort of because you have not delivered that kind of revenues for almost a decade now? So is that possible at this stage?
Dr. Felix Grawert: Well, wait a second. We have Q3 and Q4 ahead of us, right. We have two quarters to come. So I'm clearly expecting not zero in Q3, we're clearly expecting on a serious note an increase in shipment levels in Q3 compared to Q2. And we clearly expect that increase in shipment levels in Q4 over Q3 down, yes. And given from the fact that we have now confirmed and we iterated our guidance, yes, we are very confident that we will meet the €260 million in revenues this year. And that applies, I mean, it's just mathematics. 97 was in the first half, yes, so in order to make that we have to make at least 163 in the second half, and we are very confident to make that number. Otherwise, we wouldn't have we integrated we confirm our guide.
Dr. Bernd Schulte: And of course, I mean, John, you're right in orders. If we look in the entire span between our guidance of 260 to 300, this would imply 100 per quarter, each quarter. And I think it's not so likely that we will get to the upper end of the guidance. I think it's really indicated. But if we want to achieve, let's say to the lower or midpoint of the guidance, I think one quarter should get into the 100 million range, and yes, this is the plan.
Operator: The next question comes from Charlotte Friedrichs from Berenberg.
Charlotte Friedrichs: You've covered actually most of my questions. Just one follow-up on any additional colors that you can share on the third quarter beside from expecting, perhaps this largely softer gross margin because of any shipment?
Dr. Felix Grawert: Yes, I mean, I mentioned this, we are going to ship in Q3 quite a number of red LED tools to China for mini and fine-pitch LEDs. And traditionally, our prices are a bit more, let say, average selling price is a bit lower than in other applications. So, we expect a slight reduction in gross margin in third quarter due to the fact that we should have been quite a few red and blue to.
Operator: The next question comes from Jurgen Wagner from MainFirst Bank.
Jurgen Wagner: First, a follow-up on your OLED answer, you mentioned that is Gen2 now about to conclude all the discussions all the development. How much revenue will you book for that in the current year? And then you also mentioned that your portfolio will be upgraded or completed, the upgrade will be completed soon, what could be the impact on gross margin and OpEx leaving OLED aside in '21?
Dr. Felix Grawert: So let me take your first question on the OLED topic. As we mentioned earlier, probably OLED, we are booking the revenues on a percentage of completion, in a percentage of completion mode. That is we are continually booking and recognizing the revenue as we are completing the project. So that means an implication that by the moment we complete the project will not lead to like a jump in revenue or sudden one time effect, yes. But we'd rather as we have been completing the project and have been doing that along the side. So there's not going to be a one-time effect out of it.
Jurgen Wagner: So, you have been recognizing sales already this year. Is that right?
Dr. Felix Grawert: Yes, we have.
Jurgen Wagner: And how much was?
Dr. Felix Grawert: The revenue from the system was booked in an earlier year. What we've been doing is a joint development program, which is a joint expense between us and our customer. So there is no revenue book so far in 2020 for the Gen2 system. So, there is no revenue to book for the Gen2 system and it's been taken in prior years, when the system was physically shipped to the customer.
Jurgen Wagner: And this means that you don't expect any revenues from that in the second half, is that right?
Dr. Felix Grawert: That's correct.
Jurgen Wagner: Okay. Thank you.
Dr. Felix Grawert: Sorry. Mr. Wagner, can you repeat your second question?
Jurgen Wagner: You said that you are about to conclude the upgrade on your portfolio.
Dr. Felix Grawert: I'm sorry, I remember. Yes, your question on the impact on margins et cetera. So, you have to see, we are working to basically renew our entire MOCVD equipment portfolio and that is not the thing, which happens overnight. So, we have launched the silicon carbide new equipment in fall last year. And we are still talking about getting the first repeat order probably early next year. So, this gives you a feeling, what is the period from introduction to the market until you're really seeing for sales, and with the other product, it's similar. So, we are now in the process this year basically to bringing the first demonstration towards to customers for our next generation gallium nitride tool, which targeting for power and eventually also micro LED, but we will start with power electronics. And similar with -- for the red color for lasers and for micro entities, here we will start due to customer demand with micro LEDs. But these tools most people will first to, they will ship them maybe the beginning of next year. So then you have to go through the qualification cycle and until you really see the impact of volumes going to your P&L this takes a while. So don't expect, I mentioning this more for you guys to understand why our R&D numbers are going up. So we're now spending the money to developing these tools. And you see this in our P&L in the increased R&D. And when you see the increased R&D not coming from OLED, indeed OLED is reducing, it's really coming from the efforts of developing new MOCVD platform. And then investment for staying ahead of delivering first increased market demand increased customer demands, in terms of performance, but secondly, also to stay ahead of competition. As is said, it's basically what we do here. So don't expect immediate impact this year next year.
Operator: The next question is coming from David O'Connor from Exane BNP Paribas.
David O'Connor: Two on my side, if I may. Firstly, on the OLED side. So, the next stage of OLED, on the R&D, the proving as you talked about scaling the largest substrates. What's the timeframe for this next stage? That's my first question. And then secondly, on the 3D sensing opto side, Q2 orders, €9 million down quarter-over-quarter and year-over-year. What's your overall general expectation for 3D sensing, from your discussion with opto customers, as you go into the second half and maybe further into next year? Thanks.
Dr. Felix Grawert: Coming to the first question about the timeframe, so I think this is going to be a project which will run through the 2021 roughly, yes. And then to be seen what exactly the scope of that project, is it finishing towards the end of '21 or early '22, I think that depends on the mutually agreed scope with the customer.
Dr. Bernd Schulte: David, on the 3D sensing, it is basically still in the situation that there is capacity for, let's say, the ongoing products which are in the market -- end products and markets. The existing capacity is enough. And it requires really an uptick in additional capacity required coming from end applications meaning more cell phones, more high volume cell phones are using on the face and worksite 3D sensing applications because that's what's driving the short term demand in 3D sensing. Nevertheless, we are very optimistic about the long-term demand in 3D sensing, looking in industrial, looking in automotive applications. But this is more, but in the long term, but in the very short term, we selling 3D sensing tools here and there. And it's basically mostly to customers in China or Taiwan. Basically, we established supplier into the supply chain of iPhones. They -- in the moment, they don't give us indication for fast need of capacity. However, from the past, I remember well, it can change overnight. So, this is -- because it doesn't require any development nothing, you just place an order now it's going to deliver as fast as possible.
David O'Connor: And maybe one follow-up on the power side of things. Last quarter, I think you indicated the split in power orders and about 50-50 between silicon carbide and gallium nitride. Could you give us any indication of what it was in Q2? Thanks.
Dr. Felix Grawert: I think it was a bit more on the gallium nitride side, but I don't have exact numbers with me.
David O'Connor: Okay, that's quite helpful. Thank you.
Guido Pickert: Yes, thank you very much, Bernd, Felix and Charles. And thank you for your sustained interest. This ends today conference -- with this today's conference call end, I wish all of you a nice summer. Stay safe, and hopefully, see you again soon maybe even in person. Thank you and bye, bye.